Operator: Good afternoon. My name is Christian, and I will be your conference operator today. At this time, I would like to welcome everyone to the Hudson Highland Group, Inc. Fourth Quarter 2011 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to our host, Mr. David Kirby, Director of Investor Relations. Sir, you may begin. 
David Kirby: Thank you, Christian, and good afternoon, everyone. Welcome to the Hudson Highland Group conference call for the full year and fourth quarter of 2011. Our call today will be led by Chairman and Chief Executive Officer, Manolo Marquez; and Executive Vice President, Mary Jane Raymond. 
 At this time, I will read the Safe Harbor statement.  Please be advised that except for historical information, the statements made during the presentation constitute forward-looking statements under applicable securities laws. Such forward-looking statements involve certain risks and uncertainties, including statements regarding the company's strategic direction, prospects and future results. Certain factors, including factors outside of our control, may cause actual results to differ materially from those contained in the forward-looking statements, including economic and other conditions in the markets in which we operate, risks associated with competition, seasonality and the other risks discussed in our filings made with the SEC. These forward-looking statements speak only as of today. The company assumes no obligation and expressly disclaims any obligation to review or confirm analyst expectations or estimates or to update any forward-looking statements, whether as a result of new information, future events or otherwise.
 During the course of this conference call, references will be made to non-GAAP terms such as EBITDA. An EBITDA reconciliation is included in our earnings release and quarterly slides, both posted on our website, hudson.com. 
 I encourage you to access our earnings call slides and press release at this time. They're posted on the website under Featured Documents, and our speakers will make references to these materials during their remarks. 
 With that, I will turn the call over to Manolo Marquez. 
Manuel Marquez: Thank you, David, and good afternoon, everyone. Earlier today, we released results for the full year and the fourth quarter of 2011. 
 As I complete my first year at Hudson, I am pleased to announce that we achieved double-digit revenue growth and an all-time record net income from operations in the year. To reach these results, we placed over 16,000 professionals and managed a daily average of 5,800 highly skilled contract consultants to deliver solutions that help our clients grow and address their business challenges.  I would like to thank our clients for the confidence they placed on us and, of course, thank our teams, operating in more than 20 countries across the world, for their efforts and excellent work.
 We have learned from the company challenges in the past and the realities of the business cycle the requirements to achieve stable, profitable growth. The second half of 2011 saw a challenging environment in Europe. As you know, economic sentiment is a key driver of hiring decisions. And like everyone else, we experienced headwinds. 
 During the fourth quarter, investments also declined in Asia Pacific, and our banking clients took additional austerity measures. These rates forced the reasons why we wanted to move swiftly to set a stronger business foundation for our future while working very hard to deliver on our committed 2011 earnings trajectory. 
 And overall performance metrics improved significantly in 2011. Our revenue of $934 million grew 17.5% or 11% in constant currency. Our gross margin of $354 million grew 19% or 12% in constant currency. EBITDA was $23.6 million compared with $6.5 million the previous year. And net income was $10.9 million compared with a net loss of $4.7 million in 2010.  
 Mary Jane will provide you with more details on our financial performance in a few minutes.
 We undertook 4 key strategic initiatives, which contributed positively in 2011 and will be critical in 2012. Our first strategic initiative encompasses efforts to align our business units globally and capitalize on our best practices across borders. In 2011, we established global practices for 2 of our fastest-growing lines of businesses: Legal eDiscovery; and Recruitment Process Outsourcing, or RPO. Hudson's Legal eDiscovery solution combines contract attorney staffing with an integrated system of discovery management and review technology for corporate clients and loss firms. More than half of our legal engagements now include project management compared with only 15% 2 years ago.
 Our RPO teams utilize a state of the art recruitment process methodologies and project management expertise to provide recruitment outsourcing, project-based outsourcing, contingent workforce solutions and recruitment consulting. The majority of the assignments won in 2011 were cross-border. And the profitability of our RPO line doubled from previous year.  
 Together, Legal eDiscovery and RPO contributed over 70% of our constant currency gross margin growth in 2011.
 We also took steps to unify our operations by organizing our divisions into 3 regions: Americas, Asia Pacific and Europe. Streamlining operations simplifies our operating platform, enables better global coordination and aligns with our clients' needs. This new organization will allow us to extract cost savings over this year to counter a potential revenue drop in Europe.
 Our second initiative comprise of actions to improve the capabilities, engagement and productivity of our teams. After the appointment of our chief people officer, we rolled out a company-wide communication and collaboration program, a new compensation structure to better align our management team with shareholder value creation and a personal performance agreement process to provide a consistent way for employees and managers to set objectives and track and measure our progress.  Sharper business focus helped us achieve an adjusted EBITDA leverage on incremental constant currency gross margin of 49% in 2011.
 Our third initiative redirects our efforts to critical jobs and more specialized professional contract consulting solutions. During 2011, a better mix of business expanded our temporary gross margin 100 basis points in constant currency. Also, half of our permanent placement gross margin growth came from either exclusive or retain assignment. 
 Our fourth initiative delivers a compelling digital presence through the web and social networks to leverage the possibilities that these channels offer for our clients and candidates. To this end, we created a new chief knowledge office, integrating our existing technology, information, social media and branding efforts. In this last fourth quarter, we deployed our new search engine-optimized website in more than 20 countries, and we are already experiencing an increasing number of meaningful client and candidate web-generated inquiries.
 We are confident that these 4 strategic initiatives will help us establish a stronger foundation for profitable growth, even though European conditions remain volatile. As we shared with you in our press release, we are likely to see a decline in revenue during our first quarter.  But to counteract these, we will continue to develop high-value strategic set of total solutions like eDiscovery and RPO, we will nurture global client relationships to generate more cross-border opportunities, we will remain adaptive to market conditions with our balanced portfolio of business lines and specialty practice and we will focus on cost management and productivity gains to deliver our services and solutions with greater efficiency.
 All of us in Hudson feel honored by the confidence of our investors. We are pleased our efforts produce sound results in 2011 in spite of the market difficulties. We will enforce our commitment to progress in 2012. We will redouble our efforts to withstand economic challenges that the current year may bring and take advantage of the opportunities presented in an interdependent globalized world. 
 I will now turn you over to Mary Jane, who will provide more specific details on the year and the fourth quarter. 
Mary Raymond: Thank you, Manolo, and thanks, everyone, for joining us today. We've posted some slides showing our results on the Hudson website, as David mentioned. I hope you'll take a minute to access them for reference during this call. 
 As Manolo said in his remarks, we had a strong year in 2011. All of our key metrics improved: our gross margin, our earnings and our cash flow. Our whole company began 2011 with that commitment and we're proud to have delivered on it. At the same time, we progressed our new strategic initiatives that are both exciting for us and valuable for our clients.
 The financial highlights have great parallels to the strategic highlights. All of our regions contributed to our revenue growth of 18% on a reported basis and 11% in constant currency. Our major revenue lines grew and collectively contributed to our improved gross margin mix. Earnings improvements were driven by both good market focus and better application of our expenses. Our tax provision on a book basis was $5.3 million, reflecting good tax management, especially when compared to the 2006 and '07 period and also a more balanced earnings contributions from all 3 regions of the world. Our cash flow from operations of $13 million is a $28 million improvement over 2010. 
 With respect to the fourth quarter, let's review a few facts first. Our revenue of $223 million grew 1% in constant currency over the fourth quarter of 2010. Gross margin of $84.6 million grew 1.4% in constant currency. EBITDA of $6 million or 2.7% of revenue in the fourth quarter, included $1 million of severance. This improved from $3.6 million for the fourth quarter of 2010 or 1.6% of revenue. Net income of $3.3 million or $0.10 a share compared with net income of $1.2 million or $0.04 a share for the fourth quarter last year. Cash flow from operations in the fourth quarter was $20.4 million and $13 million for the year, as I mentioned before. 
 Our liquidity increased to $89.1 million, composed of $37.3 million in cash and $51.8 million in available borrowings with $3.4 million of outstanding borrowings on our various revolvers at the year end.  Our cash position improved 26% from a year ago while availability -- while available borrowings are up 18% from last year.
 As with the sequential decline in our revenue from the third quarter, it is largely, as Manolo mentioned, from the banking sector. During the last year, banking has been about 20% of our business in total, including some of our Legal and eDiscovery clients. With the ongoing pressures that banks are dealing with regarding the sovereign debt issues and the need to counteract those effects, many of our clients focused squarely on cost efficiencies, including hiring freezes.
 What was more pronounced than we expected were the ripple effects in Asia Pacific. However, this is an important sector in professional recruitment with the need for talent in all economic conditions. So we have confidence that it will remain a decent source of revenue despite variations from quarter-to-quarter.
 Notwithstanding some softness in the fourth quarter, each region still made a substantial contribution to the year and to the fourth quarter. 
 Starting with the Americas. The Americas' good year was driven by both of our strategic practices, eDiscovery and RPO. Gross margin increased by 29% from 2010. Gross margin expansion, along with ongoing expense control, delivered both $6.4 million in adjusted EBITDA and $1.8 million in net income, with a net income figure including $3 million of the corporate management charge. As it happens, this is Americas' first year of positive net income from operations, allowing us to access the NOL.
 This adjusted EBITDA of $6.4 million compares with 200,000 in 2010. Fourth quarter adjusted EBITDA of $2.4 million more than doubled from last year. Thanks to Legal eDiscovery, temporary contracting gross margin grew 19% for the year overall and the gross margin percentage increased 60 basis points to 22.2% in 2011.
 In Asia Pacific, Asia Pacific's gross margin grew in the first half of this year by about 15% in constant currency, but the rate declined in the second half of the year, especially in the fourth quarter as both the banking sector and investment in China fell. This was partially offset by RPO and our growing business in the natural resources sector. Consequently, along with good expense management, Asia Pac's adjusted EBITDA remained healthy at 6% return on revenue for both the fourth quarter and the entire year. For the full year 2011, Asia Pac's gross margin grew 10% in constant currency. This was driven by 14% growth in permanent recruitment led by RPO in China and 5% growth in temporary contracting. Adjusted EBITDA was $21.3 million, an increase of 56% or $7.6 million from 2010. Asia Pac continues to be the most profitable region in our organization.
 And finally, for Europe. For the year overall, we made good progress in the U.K., Belgium and the Netherlands. Our specialty contracting practices, including eDiscovery and the placement of senior leaders on an interim basis, were the major drivers of 9% constant currency gross margin growth for the region and adjusted EBITDA of $16.5 million. The adjusted EBITDA increased 79% from $9.2 million in 2010. 
 Permanent recruitment had modest growth during the year, but temporary contracting increased 30%. The temporary contracting gross margin increased to 18.9% of revenue, up from 16.9% last year, primarily driven by higher margins in eDiscovery.
 In the fourth quarter, many clients delayed permanent hiring decisions especially in the U.K. The balance of our service portfolio, nonetheless, helped maintain gross margin flat to the fourth quarter of 2010 in constant currency. Adjusted EBITDA of $3 million increased 18% over the fourth quarter of 2010.
 To give you a few other points of interest, our net income included $400,000 of stock compensation expense in the quarter and $3.2 million for the year compared to $1.7 million in 2010. As I've mentioned to you previously, there are 2 drivers of this increase between this year and last year: The first is that for the 2011 grant, the stock price was higher by about 40% compared to the price it was applicable in the 2010 award. The second reason is that we issued 25% more shares, largely for retention. 
 Our tax rate was 33% for the year consistent with expectations. And our DSO dropped to 47 days at the end of Q4, down from 49 a year ago with notable improvements in the Americas and Europe.
 Our CapEx was $1.7 million in the quarter, just under $7 million for the entire year. We expect 2012 to be consistent with '10 on a cash basis, not including some landlord-funded improvements for properties where the move to them will greatly increase our operating efficiency.
 Our restructuring reserve for prior year programs continues to decline. It is now about $1.4 million after cash payments in the fourth quarter of $300,000 and $1.8 million for the year. The remainder of the reserve is mostly property related and will continue to reduce over time.
 Turning to our outlook. You will remember that the first quarter typically delivers about 10% of our earnings for the year. This quarter is smaller and "largely due to the restart of the U.S. payroll taxes and the summer holiday period in the ANZ region." Our outlook for the first quarter reflects that normal set of circumstances, coupled with the effects of the European debt issues that have been with us during this first quarter.  We expect the first quarter of 2012 to be down 4% to 8% in revenue compared to prior year at prevailing exchange rates, and EBITDA to be about breakeven from operations. As Manolo indicated, we're taking actions to contain the effects of this decline in the first quarter. Our outlook compares with revenue of $218.5 million and EBITDA of $2.5 million in the first quarter of 2011.
 Regionally, we expect revenue to be down in Europe, and we don't expect that the Americas or Asia Pacific will be able to fully offset that decline. For EBITDA though, we expect improvements in the Americas and Asia Pacific compared to prior year and weaker results in Europe. 
 For the year overall, though, we're cautiously optimistic despite a slower start to the year. We're heartened by the signs of progress to resolve the European debt issues or at least the early signs, and we are committing to improving our financial position throughout this 2012 year. Along with closely managing our commercial prospects and our expenses, the early momentum from our strategic initiatives gives all of us confidence in our opportunities for this year. 
 With that, Manolo and I would be happy to take your questions. 
Operator: [Operator Instructions] Our first question comes from the line of Jeff Silber with BMO Capital. 
Jeffrey Silber: In your prepared remarks, you talked about the incremental adjusted EBITDA being about 49% of gross margin. Would it be that high if gross margin goes down? And if so, what would the company do potentially to counteract that? 
Mary Raymond: So in other words, would it go down that much as well? 
Jeffrey Silber: Correct. 
Mary Raymond: Well, what I can tell you is that the company will work -- the up and down on the leverage can vary considerably, particularly depending on conditions. But I would say that we would work very hard to try and mute that. 
Jeffrey Silber: Can you give some examples of what you might do? 
Mary Raymond: Well, I mean, obviously, we would look at various actions with respect to the variable compensation, discretionary spending, et cetera, that would allow us to potentially continue to be sure we're focused on revenue-generating opportunities, but are very cautious on the spending of expenses until the revenue line for the year is clear. 
Jeffrey Silber: Okay. All right, that's helpful. You talked about some of the weakness in the Asia Pacific market and the ripple effect there. If I remember correctly, that market is dominated by your businesses in Australia. Is that where you saw the weakness, or was it in some of the other countries in that region? 
Mary Raymond: Well, I think, first of all, the ripple effects we talked about, first and foremost, primarily through the banking sector. And as you probably know, the banking sector is a large part of the economy in both Singapore and Hong Kong. It is a part of the Australian economy as well. So we saw the banking sector around the world affected, particularly in the fourth quarter. We also saw some lesser investments during the fourth quarter in the China market as well. But -- so generally speaking, it was not specifically limited to Australia, but was really more driven by the banking comments we made. 
Jeffrey Silber: Actually, that was a segue to my next question about banking. You mentioned it was about 20% of your global business. Does it skew higher or lower in any of the regions? 
Mary Raymond: Well, obviously, some markets in the world tend to be more banking centers. I mean, the United Kingdom, as a general matter, is a very large banking center. So consequently, it is probably the largest -- of our businesses around the world, there's a larger percentage of our business in banking in the U.K. than there is in Continental Europe. And then the other regions, just so the specific areas, ANZ, Asia, the U.S., are about the same. 
Jeffrey Silber: Okay, great. And then just a few numbers questions and I'll jump back into the queue. For both the first quarter and for the year, can you tell us what we should model for stock-based compensation, for your tax rate and for depreciation and amortization? 
Mary Raymond: Okay, well, first of all, with respect to stock comp, you should model about $800,000, I'd say, for the first quarter. It's down a bit in the fourth quarter for some true up of the stock award. So that's the answer on the stock comp. With respect to the tax rate, we would expect it to be in the low 30s for over the year. So it's still may vary quarter-to-quarter and probably will in the first quarter, but I'd say for the year, we're looking at a low 30s rate. And depreciation, in the beginning of the year, we're probably seeing it on a run rate of 2011 year. I'd call it about 6.5 to 7 and may increase to a run rate of, call it, 7.5 to 8 toward the end of the year. 
Operator: Our next question comes from the line of Morris Ajzenman with Griffin Securities. 
Morris Ajzenman: Kind of a follow-up to the first question. Do you believe you've lost share in the fourth quarter or in the current quarter? Any thought on that? I know you're heavily dependent -- focused on the banking sector, which helps drive your placements but any comment on any share loss? And then I have a follow-up. 
Manuel Marquez: No, I don't think we have. I think, in fact, that we might have won more market share. But it's difficult to tell. This is kind of our impression. I think that in those areas where we saw the economy softening, I saw that it was affecting everyone. 
Mary Raymond: I would also like to just be sure on one point. As I said, our banking presence is about 20% of our business, but I wouldn't like to leave you with the impression we're heavily dependent on it. The banking sector, as a general matter, is a very, very good market for professional staffing. It's an important part of the major world economy. So it is important. That did have an effect on the fourth quarter and will in the first. So I absolutely, that's right. But it's not so much that we're particularly skewed there. We would be remiss not to have that in our portfolio at all. 
Morris Ajzenman: Okay, fair enough. And the second question is you're optimistic for the remainder of 2012. Just help me understand that. Do you -- is the presumption that the banking sector improves? What is it that makes you optimistic for the remainder of 2012 and for a difficult fourth quarter and the upcoming difficult first quarter? 
Manuel Marquez: Well, as I have said, the hiring is very much reliant on the economic sentiment rather than on the economic factors. I mean, clients switch on and off hiring depending on how they see the prospects are. And when you see some of the indexing that are available in terms of the economic sentiment, we see that, that's improving. So hiring always picks up faster in the cycle than other industries, so that makes us feel positive about the recovery. And we are seeing all that trend, too. 
Operator: Our next question comes from Mark Marcon with Robert W. Baird. 
Mark Marcon: I was wondering could you give us a little bit of a little more color with regards to just Asia Pac? We were looking at the organization in terms of the split. So just relative to how things shook out, would you expect that maybe Asia was the most variant relative to the expectations or relatively equal? 
Mary Raymond: Between Asia and ANZ, is that what you mean? 
Mark Marcon: Right. 
Mary Raymond: Yes, I would say that there probably was a somewhat bigger effect in the Asia proper market for 2 reasons: One, kind of a greater concentration of banking in 2 of our markets; and secondly, it was -- I think a lot of people were very nervous around the world as the European debt situation did not resolve. Consequently, we saw clients in a lot of places actually become very, very cautious about hiring at year end. A part of that may well have been the fact that they were year end clients and were preserving their earnings. So we think we had a little bit of a year end effect as well. I mean you'll remember that we have a very strong position in multinationals in the Asia region. And from time to time, we'll see this at the year end, that there was a little bit of a drawback as those companies get ready for year end. But generally speaking, I would say we've made some very good strides in the natural resources sector in Australia that have counterbalanced our whole portfolio there, consequently having a little bit more bump, shall we say, in Asia at the end of Q4. 
Mark Marcon: And can you tell us the savings that you were able to gain from combining those 2 regions? 
Mary Raymond: Well, the savings on the -- the specific actions that we took was in the area of about $1.5 million to $2 million on an annualized basis. And that began to contribute a bit in the fourth quarter but will be more realized through this year. 
Mark Marcon: Okay, great. And then how big is the legal practice within the U.S. now? 
Mary Raymond: A fairly good part of it. I mean, let me just have David check the exact slip for you, but it's certainly in the -- yes, about 50% to 60%. 
Mark Marcon: Because it sounds like you're making really good progress there, both domestically as well as expanding that offering. So I was wondering if you could give a little bit more color just in terms of the growth rates that you're seeing specific to that particular segment and what you think the longer term opportunity is? 
Manuel Marquez: We have a dominant position being one of the market leaders in Legal eDiscovery in the U.S. and we believe the market is getting more sophisticated, and we are doing, as I described in my address, is moving up the value chain, including more project management and integrating technology in our offer. And that reinforced our possibilities to win market share in a market that is presenting more international opportunities now. So it gave us a fantastic opportunity to move the position, the experience that we have in the U.S. throughout the global platform that Hudson has elsewhere. 
Mark Marcon: Right. And how much did Legal grow by in the quarter? 
Mary Raymond: In the quarter, 25%; for the year, 28%. 
Mark Marcon: And how big is it outside of the U.S. at this point with the opportunities that you're pursuing? 
Manuel Marquez: We don't have specific numbers in terms of what is the market size. What we are seeing is more opportunities initially as eDiscovery moves outside of the U.S. market, which is closer to the U.K. and that's where we are seeing most of our opportunities. And then we are seeing also opportunities in Continental Europe, and we see possibilities as well in Hong Kong and Australia down the path. 
Mark Marcon: Manolo, do you think those could be sizable over the next year in terms of the opportunities? In other words, if you're doing roughly $100 million in the U.S. in eDiscovery in 2011, is that something that could ultimately get to $20 million to $30 million internationally at some point in the near-term future or is it going to take a little bit longer? 
Manuel Marquez: Well, we are not going to kind of give a forecast on what we could do in the year with a specific practice. But we are doing a specific investment in the U.K. We do think that, that's a major market and as you have seen in the approach that the new management team and myself are doing, we want to provide sharper business focus and prioritize our actions to ensure that we engage in this path of profitable growth. So I think that you'll see more of our growth outside the U.S. in the U.K. And in 2011, we already achieved $6 million in gross margin the U.K. 
Mark Marcon: Right. And then, just a few numbers questions with regards to the guidance. Mary Jane, you mentioned we're going to be up year-over-year in both the Americas and ANZ as it relates to EBITDA, but basically implying Europe is really going to -- is going to get hit, which isn't surprising to anybody who reads the news. But do you think that things could improve in Europe after the first quarter? 
Mary Raymond: Well, I think that's what we do think. When I say that we are looking to contain this in the first quarter, obviously we won't contain all of the world economic events. But it's at least hopeful, let's say, that we seem to have some initial workings of some debt resolution. Because, as you know, Mark, in some ways, the economy in Europe outside of Germany has actually never been good since the 2009 recession. And so after a while, we sort of get into kind of a downturn fatigue. But generally speaking, I mean we actually had a nice year in Europe either because of eDiscovery growth and RPO, the growth in our Belgian business, the growth in our Netherlands business and while that's pausing here in the first quarter, I think as people really tried to figure out what was going on as the news changed every day in December. We actually are quite hopeful about our prospects in Europe, the strength of our business, our leadership team there. And that's what I say. Notwithstanding, we're not giving guidance for the year, that actually we are positive about this year and the contributions of Europe as time progresses, and we hope that we can see that getting underway sooner rather than later. 
Manuel Marquez: Yes, and on top of that, I think that -- I mean we know what's coming in Europe. If you read the press, we know it's coming and with the new organization we would put in place, we are dynamizing our people so that we move swiftly to try to take advantage of the opportunities where we find them. And we talked just a minute ago, just as an example, about eDiscovery, the drop that we had in the banking sector in the U.K., which is a big part of our portfolio there was more than compensated in 2011 by the growth in eDiscovery. So we can move swiftly to take advantage of our different business practices and practices lines so that we make sure that we tackle the difficulties on a particular part of the economy. 
Mark Marcon: Great. And then can you just -- one other numbers question and I'll jump back in the queue. As it relates to the corporate expenses for the fourth quarter, can you shed some light on that? Because it actually looks like a net addition outside of what was allocated to the specific regions. 
Mary Raymond: Well, as I mentioned, we did have some severance in the fourth quarter. And I would say that, overall, the fourth quarter compared to last year is actually down. But possibly, Mark, what we're seeing and we'll examine this a little more as increasingly, I think, to try and get the company to work better together and to get some real serious traction behind these 4 initiatives. We are moving some of the costs in corporate in order to allocate it more effectively back out to the regions. So bottom line, the corporate expenses are really not moving. We did have severance in the fourth quarter as I mentioned. But other than possibly some things moving around, net-net, I can tell you that we're very focused on trying to keep the corporate expense down, and in fact, around the world, harnessing it better in order to drive it down. 
Mark Marcon: I'm sorry, I didn't explain myself clearly. If I strip out what was allocated to the specific regions, it looks like the fourth quarter number for just outside of what was allocated, looks like it ends up being a positive. 
Mary Raymond: In other words, we allocated more than we had? 
Mark Marcon: It appears that way, and I'll follow up offline. 
Mary Raymond: No, no. Mark, I just -- excuse me, I just want to be sure. I was going to answer your question. The way the corporate allocation goes is obviously in compliance with all the transfer pricing rules and does include a markup. But net-net, that is kind of washes in the composite consolidation, but that probably is the main difference you're seeing and we can talk to you a little bit more about it. But generally speaking, we're trying to do the corporate management charge very, very carefully and against the rules -- in compliance with the rules and that does lead to the inclusion of a markup, just to be sure that we have this on a correct basis. 
Operator: [Operator Instructions] Our next question comes from Ty Govatos with CL King. 
Ty Govatos: I got a couple of small questions. The severance involved what? 
Mary Raymond: In other words, what was it for? 
Ty Govatos: Yes. 
Mary Raymond: Well, the consolidation of the regions ended up taking out 2 leaders. 
Ty Govatos: All right. You said you'll be accessing the NOL for 2011? 
Mary Raymond: We did. 
Ty Govatos: When you estimated tax rate in the low 30s, that's a full tax rate without any NOL? 
Mary Raymond: Well, we would not expect the NOL to be enormous in North America, obviously, from a tax planning point of view, but also includes the withholding taxes for the various intercompany loans. 
Ty Govatos: Okay. And finally, a little broader question. This is the first time I've heard about expansion into the natural resource sector. Could you go a little deeper in that? I assume that's Australia. 
Mary Raymond: Yes, I mean, I think, first of all, the natural resources sector in Australia is a pretty large part of their economy and perhaps I haven't described it very well, but we've talked about that a little bit for the last several quarters. Obviously, our initial foray into that was in our very excellent accounting, finance, legal practices, the usual sort of corporate staff type of leaders. Increasingly, we've expanded that into professional engineering. But basically, those are important companies in the Australian economy. They are good companies in the Australian economy and have needs for all sorts of management and leadership talent. And we are privileged to be able to supply some of our clients in that space. 
Manuel Marquez: Yes, and also, I mean, as you have seen, with eDiscovery and RPO, those are not new, new things that Hudson is doing. What we are trying to do is identify things that are existing in Hudson that we do well and make sure that we focus more in those areas and expand that expertise to other regions of the world. So we've done that with eDiscovery and RPO, and Mary Jane just introduced natural resources, because that's another of the areas where we do have the specific expertise that we see that has growing potential, and we want to exploit Hudson specific experience and knowledge in the area. 
Ty Govatos: If I go back, a lot of your business was from Eastern Australia. When you say you're going into natural resources, does that include a whole set of new clients or expanding your reach with existing clients? 
Mary Raymond: Well, I think first of all, we have had and continue to grow our clients across Asia, including the natural resource and the RPO portfolio. And some of them -- some of these clients we've had for a long time, even if we were only supplying some of the practices to them. So I think the answer is both. 
Manuel Marquez: And let me also be specific that even if, today, most of our business for natural resources come from Australia, we're not going to restrict ourselves to Australia in natural resources. We have some presence in the Middle East, which is still is incipient, but where we could -- where we are already operating in natural resources. We do that as well in other areas of the world like Scotland. 
Operator: [Operator Instructions] There seem to be no further questions. Please continue with any closing remarks. 
David Kirby: Thank you, operator, and thank you, all, for joining the Hudson Highland Group Fourth Quarter Conference Call. Our call today has been recorded and will be available later today on the Investors section of our website, hudson.com. Thank you, and have an excellent evening. 
Operator: Ladies and gentlemen, this does conclude today's conference call. You may now disconnect.